Operator: Good day, ladies and gentlemen, and welcome to the Tutor Perini Corporation Third Quarter 2024 Earnings Conference Call. My name is Matt, and I’ll be your coordinator for today. All participants are currently in a listen-only mode. Following management’s prepared remarks, we will be opening the call for a question-and-answer session. As a reminder, this conference call is being recorded for replay purposes. [Operator Instructions] I’d now like to turn the conference over to your host Mr. Jorge Casado, Vice President of Investor Relations. Thank you. You may begin.
Jorge Casado: [Technical Difficulty] Ronald Tutor, Chairman and CEO; Gary Smalley, President; and Ryan Soroka, Senior Vice President and CFO. Before we discuss our results, I will remind everyone that during this call, we will be making forward-looking statements which are based on management’s current assessment of existing trends and information. There is an inherent risk that our actual results could differ materially. You can find our disclosures about risk factors that could potentially contribute to such differences in our Form 10-K, which we filed on February 28, 2024, and in our Form 10-Q that we are filing today. The company assumes no obligation to update forward-looking statements, whether due to new information, future events or otherwise, other than as required by law. Thank you. And with that, I will now turn the call over to Ronald Tutor.
Ronald Tutor: Thank you, Jorge. Good day and thank you all for joining us. As you can tell from our earnings release today, we delivered mixed results for the third quarter of 2024, highlighted by amazing backlog growth in year-to-date operating cash flow, but negatively impacted by certain charges from recent dispute resolutions and litigation. Cash flow for the fourth quarter is expected to be outstanding, should allow us easily to break last year’s record and enable us to prepay certain debt. Our backlog soared to $14 billion, up 35% compared to the prior quarter, setting a new record since the 2008 merger of TutorSaliba and Perini, and substantially above our previous record of $11.6 billion. The strong backlog growth was driven by the awards of several new projects during the quarter, namely the $1.66 billion City Center Guideway and Stations Project in Honolulu, the $1.1 billion Kensico-Eastview Connection Tunnel in New York for Frontier-Kemper, and a major healthcare campus project in California worth over $1 billion for Rudolph and Sletten. Our new awards continue to be strong in the fourth quarter as we recently won and announced the $331 million Apra Harbor Waterfront Repairs project in Guam, which will be managed by our subsidiary, Black Construction. The contract includes nine options for additional anticipated scope items that if exercised could add another $230 million of backlog. We are confident they will all be exercised. In addition, this morning we announced that our joint venture with O&G Industries in which we are the managing partner has been identified as the apparent selected proposer for the multibillion dollar Manhattan jail in New York and we are entering into contract discussions with the expectation that we be awarded that design-build contract after those discussions have concluded in the short-term. By the end of this year, the company’s total backlog could reflect additional significant growth as we are also expecting owners decisions and a potential awards this quarter for other large projects including the $1.5 billion AirTrain that we recently bid and the $550 million Raritan River Bridge Replacement that is bidding tomorrow. Other project we are bidding in the months of November, December and January are the $750 million Manhattan tunnel in New York on November 22nd and the $2.2 billion Midtown Bus Terminal Replacement in New York in February of 2025. In addition, Rudolph and Sletten has various current healthcare and education projects underway that are in the pre-construction phase with only a modest amount of our current backlog represented by those projects. Over the next two years these projects are expected to advance into the construction phase and anticipate that we will book significant additional backlog. As we’ve discussed in the past, most of our newer, existing and prospective civil projects are higher margin, longer duration projects with improved contractual terms compared to other projects booked several years ago. This is a result of renegotiations of traditional terms into terms far more favorable and reasonable for the general contractor, so our contracts are no longer one sided but equally fair. This provides us with excellent visibility and confidence in our outlook for strong revenue growth and continued earnings performance in the years ahead. Assuming we are successful in continuing to increase our backlog over the next few months, depending on the projects in what part of the country, we may decide to take a short term hiatus from bidding for some of the larger pursuits depending on the market. That period of time might be up to a year, but at that point, with a record backlog at such a level as to sustain us for the next five years, we will probably stop bidding or at least reduce that commitment. However, as we look ahead over the next year to two, some of the more prospects include and are of interest the $3.8 billion Southeast Gateway Line, a transit project in Southern California bidding within the next 18 months. That will be a perfect tie into the completion of the $2.5 billion Purple Line projects we’re currently in a completion phase with LA Metro. So that might tie in dramatically to work we’re completing. Secondarily the $1.8 billion South Jersey light rail in New Jersey which will be proposed the end of next year or mid-year 2026. Those are the only projects of substance we are reviewing and keeping a finger on over the next year to 18 months. As we announced a few weeks ago, we made substantial progress during 3Q of 2024 in resolving various matters, including seven of our largest outstanding disputed balances, with four of the seven having favorable outcomes for Tutor Perini. A couple of these resolved two to be exact, resulted in very – well, maybe three very unexpected and inexplicable legal decisions which we strongly disagree with and are appealing. Overall, the recent resolutions negatively impacted our third quarter income by approximately $152 million and EPS by $2.13. In appeal we hope to reverse much of this negative impact, but that will be determined over time. A positive is that we expect to collect over the next 30 to 60 days – $180 million associated with these resolve much of which we will collect in the fourth quarter. We anticipate that we will continue making substantial progress in resolving the remainder of our disputed matters. Compared to the dozens of such disputed matters that we had a few years ago that backed up during COVID, because of the substantial progress we have made over the last two to three years, we are now essentially down to a dozen or so matters of any significance. We expect to resolve these remaining legacy disputes and continue to collect substantial amounts of cash over the next 12 to 18 months, which, combined with cash generated from normal operations, should drive significant cash flow in 2025 and 2026. Year-to-date, through the end of the third quarter our operating cash flow was $174 million. As we mentioned in our recent announcement, we expect tremendous fourth quarter operating cash flow in the range of a minimum of $250 million up to $400 million, much higher than we were anticipating on our last call. As a result, our full year 2024 operating cash flow is now expected to be $425 million to $575 million, with even the low end of this range far exceeding our prior annual operating cash flow record of $308 million sent last year. This will represent the third consecutive year that the company has generated record operating cash flow. Note that any shortfall in achieving the estimated $575 million of operating cash at the upper end of the 2024 full year range is expected to be collected in the first quarter of 2025. Based on the adverse charges to earnings in the third quarter for the resolution of disputes that I mentioned earlier, we have withdrawn our EPS guidance for 224 – for 2024. However, still expect to initiate 2025 guidance in February when we report our full year results. We very much look forward to a significant return to profitability in 2025 and our confidence has increased around our expectations for significant increases in revenue and earnings growth in 2026 and beyond as these projects grow into fruition and operation. Thank you. And with that I turn the call over to Gary.
Gary Smalley: Thanks, Ron. We see truly exciting times ahead with a future brighter than ever before. As we continue to put a significant number of disputed legacy items behind us and utilize another record year of cash generation to further deleverage our balance sheet which has been a key capital allocation objective. We are pleased that the collection of large amounts of cash that we have foreseen and talked about for some time now is finally upon us. As we announced in October, from these cash collections we plan to prepay $100 million to $150 million of our term loan B debt in the fourth quarter, with further prepayments of $50 million to $75 million expected in the first quarter of 2025. So in total, you can expect our term loan to be paid down between $150 million and $225 million in the next few months. Of this total expected payoff of the term loan, I should note that we have already paid down $50 million of the balance since our announcement in October, so we are well on track to do what we said we would do. Of course, the reduced debt level should result in a significant decrease in interest expense. With interest rates unpredictable but expected to come down more, it is hard to predict the precise impact. But using current rates, we estimate that we will have annual interest expense savings beginning in 2025 of between $15 million and $22 million, which translates to additional EPS of between $0.21 and $0.32. With unprecedented cash flow and a record and growing backlog built on new awards with better margins and contractual terms, this is the dawn of a new era for Tutor Perini. The expected abundance of cash should give us the ability to continue to significantly pay down our debt and our very strong backlog provides excellent visibility as to what we expect will be a profitable multiyear revenue stream. Thank you. And with that, I will turn the call over to Ryan to review the financial results.
Ryan Soroka: Thank you, Gary. Good afternoon, everyone. As Ron and Gary mentioned, our operating cash is certainly one of the major highlights of our year-to-date results and those anticipated for the full year of 2024. We expect strong cash flows in 2025 and 2026 that will continue to be enhanced by the anticipated resolutions of disputes. As Gary mentioned, we’ve already paid down $50 million of our term loan B in the fourth quarter and plan to further deleverage our balance sheet significantly in the near-term by using any excess cash for debt reduction. We’re delivering on our promise to improve our balance sheet and capital allocation. Now let’s discuss our P&L results. Revenue for the third quarter of 2024 was $1.1 billion, up slightly compared to the same quarter last year. The growth was primarily driven by increased activities on certain Building and Civil segment projects, including various healthcare and educational facility projects in California and the Brooklyn Jail project in New York, as well as Civil segment projects in California, the Northern Mariana Islands and British Columbia. Civil segment revenue for the third quarter of 2024 was $546 million, up 5% compared to the third quarter last year. Through the first nine months of 2024, Civil segment revenue was up 10% compared to the same period in 2023. Building segment revenue for the third quarter of 2024 was $436 million, up 19% year-over-year, mostly driven by the increased activities I mentioned on healthcare and educational facility projects in California as well as on the Brooklyn Jail project in New York. Specialty Contractors segment revenue was $101 million, down substantially compared to the third quarter of last year, primarily due to reduced activities on various electrical and mechanical projects in New York and Florida, all of which are complete or nearing completion. As Ron mentioned, in the company previously announced in October, we recorded net charges that now total approximately $152 million in the third quarter of 2024 related to the progress we made in various of the resolutions for which we expect to collect $180 million of cash mostly by the end of this year. Consequently, we reported a loss from construction operations of $107 million for the third quarter of 2024, compared to a loss of $13 million for the same quarter last year. Like last quarter, our third quarter earnings were negatively impacted by $13 million of higher unrealized stock-based compensation expense compared to the same quarter last year. That was due to the impact of a significant increase in our stock price in 2024 with the recognition of certain long-term incentive compensation awards. As a reminder of what we said last quarter, over the past few years, we’ve had to issue some incentive compensation awards as cash-settled performance share units or CPSUs due to the combination of a somewhat depleted share pool and a very low stock price at the time of those awards. Because a low stock price causes dollar-based equity awards to eat into the share pool at a faster clip. The use of CPSUs was really a short-term solution to deal with a depleted share pool and a low stock price. Since these awards will be paid out in cash, they’re accounted for as liability awards and therefore require quarterly remeasurement to fair value with any changes in fair value reflected in earnings. We expect that future equity awards to management will be settled in stock, not cash as done previously. This will eventually eliminate the earnings volatility we have seen this year due to the large increase in shared-based compensation expense compared to last year. The Civil, Building and Specialty Contractors segments reported a loss from construction operations for the third quarter of 2024 of $13 million, $4 million and $57 million respectively. The Civil segment’s third quarter operating income was negatively impacted in particular by a previously announced unfavorable adjustment of $101.6 million related to an unexpected adverse arbitration decision on a legacy dispute related to a bridge project in California, which the company will appeal. The Building segment’s third quarter operating income was adversely affected by an unfavorable adjustment of $20 million for a settlement on a legacy dispute related to a government facility project in Florida, mostly offset by the increased activities I mentioned earlier. The Specialty Contractors segment’s third quarter operating income was negatively impacted by reduced volume as previously mentioned, and several immaterial unfavorable adjustments that totaled $43.4 million. The financial impacts of the recent dispute resolutions unfortunately masked otherwise solid operational performance. In other words, had it not been for the significant charges we took in the third quarter, both our revenue and operating income would have been significantly better than the reported results and consistent with what we had budgeted. Corporate G&A expense was $33 million in the third quarter of 2024, compared to $21 million for the same quarter last year. The increase was primarily due to the increase in long-term incentive compensation expense that I just mentioned. Other income was $4 million compared to $3 million for the third quarter last year. Interest expense was $21 million this quarter compared to $20 million for the same quarter last year. I think it’s important to reiterate that our planned debt reductions in the fourth quarter of this year and first quarter of next year should result at current interest rates and a significant decrease in interest expense of between $15 million and $22 million annually translating to additional EPS of between $0.21 and $0.32. Income tax benefit was $34 million in the third quarter of 2024 with a corresponding effective tax rate of 27.5% compared to an income tax benefit of $4 million with an effective tax rate of 13.7% for the same quarter last year. Remember that the net operating losses we generated recently are helping to reduce our cash outlays for income taxes this year and will continue to help in future years. Net loss attributable to Tutor Perini for the third quarter of 2024 was $101 million or a loss of $1.92 per share compared to a net loss of $37 million or a loss of $0.71 per share in the third quarter of 2023. As Ron indicated earlier, the recent resolutions negatively impacted our third quarter EPS by $2.13. Our third quarter EPS was also negatively impacted by $0.23 due to elevated share based compensation expense I mentioned earlier. Now let me discuss the balance sheet. Our total debt as of September 30, 2024 was $681 million, down $218 million or 24% compared to $900 million as of December 31, 2023. Mostly because of the $91 million payment we made earlier this year on the term loan B and the refinancing we completed in the spring in which we replaced $500 million of 2017 senior notes with $400 million of new 2024 senior notes. As of September 30, 2024, we are in compliance with the covenants under our credit agreement and expect to continue to be in compliance in the future. I’d like to point out that for the first time since 2011, we are in a net BIE or net billings in excess position whereby our BIE exceeds our CIE or cost in excess. As a reminder, BIE is essentially deferred revenue and represents billings that we have issued and payments that we have received in advance of incurring anticipated cost on our projects, whereas CIE represents costs that we have in front of the project – on projects which we are not yet contractually able to build to our customers. So being in a net BIE position is a great thing from our perspective, as it means that we are operating in a net cash positive position across our portfolio of projects, using our customers money instead of our own to fund the projects. Thank you. And with that, I turn the call back over to Ron.
Ronald Tutor: Thanks, Ryan. To recap the highlights, we delivered 35% backlog growth in the third quarter compared to 2024 with further pending awards that we hope will increase that backlog between now and the end of the year. We have also generated strong operating cash flow through the first nine months of the year, with potential for a record shattering operating cash flow for the full quarter and the full year 2024. As previously stated, we’ve already paid down the debt $50 million and will expect to pay our term loan down significantly by year end and I believe paid off by the end of the first quarter. We have made excellent progress in resolving many of our legacy disputes with only about a dozen or so matters of significance left to be resolved, which I would expect would occur over the next 12 to 18 months and by the end of that period, only a handful of open issues remaining. We anticipate that our operating cash flow will continue to grow and be even stronger in 2025 and 2026, with revenue growth and a significant return to profitability in 2025, with even higher revenue and earnings in 2026 as these newer projects progress from design to the construction phase. Thank you. And with that, I turn the call over to the operator for your questions.
Operator: Great. Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] First question here is from Steven Fisher from UBS. Please go ahead.
Steven Fisher: Thanks. Good afternoon and congratulations on all the project awards and cash flow continued improvement there. Wanted to ask now, sort of the next step on all these awards is really kind of getting them into to burning revenues. Can you talk about what the shape of the curve looks like there on all these projects? When we really start to see that substantively coming through your revenues? Is it sort of like second half of 2025? Is it 2026? Is it first half of 2025? How do we think about that curve and how it kind of works towards the peak?
Ronald Tutor: Well, the way these work is we initially have significant billings on award because we post bonds and insurance. And then there is a design phase. So before you see, for example, if it’s a $2 billion job over five years, before you see $400 million a year of cost, it takes between six and nine months to get design completed up to where it gets ahead of construction. So all of these awards you’re seeing currently, you’ll see major construction beginning somewhere between June and September of next year. So although there’ll be some significant increase in volume in the second half of the year, where it will hit remarkably will be in 2026 and 2027 and 2028 because these are all five year jobs with steady income streams and significant profitability.
Steven Fisher: That’s very helpful. And then just thinking about what happens with the specialty business earnings from here. How much does all these wins sort of get involved – get your specialty group involved? And how do we think about that inflecting back to profitability and the ramp of the profit curve there?
Ronald Tutor: Well, as you can see, the specialty group in the quarter was down to a relatively low revenue. And what we’ve done is shrunk, finished off all of the bad work. And conversely, almost every one of these jobs has a large component. When I say large relative to the job size, components set aside for our various specialty contractors, be it east coast or west coast, they will, that revenue will ramp up in specialty and as we have, they have significant margins and should do significantly better going forward in the marketplace we’re in today as opposed to where we were three, four and five years ago.
Steven Fisher: Okay, I guess a very timely question here. Curious if you guys have any thoughts on the election outcome and what it might mean for the construction industry?
Ronald Tutor: Well, as Ron Tutor, I’m elated that Trump won and wiped Kamala Harris out. I know that’s not, I’m not supposed to say things like that, but I’m delighted. But I don’t know that it’ll have an impact one way or another on us. Most of these are federally funded, approved and moving forward or is in New York City and state funded. So, I don’t know that it has a plus or a minus other than I’ve always considered Trump good for business. And since his background is construction, I can’t imagine him being anything but positive.
Steven Fisher: Okay, terrific. I will leave it there. Thanks a lot.
Operator: The next question is from Adam Thalhimer from Thompson Davis & Co. Please go ahead.
Adam Thalhimer: Hey, good afternoon, guys.
Ronald Tutor: Good afternoon.
Adam Thalhimer: The jobs that you guys are winning today, can you remind us how the contracts differ at all from legacy projects? And Ron, you mentioned in your prepared remarks that you see the contracts as equally fair. Just hoping you can expand on that a little bit?
Ronald Tutor: Well, in the past, in my entire career over the past, let’s call it 60 years; all contracts were written by owners, completely one sided, onerous and dictatorial. And as long as they had five bidders to seven bidders on every job, regardless of comment, when I would protest, the answer would be, well, then don’t bid if you don’t like our terms. So over the years, we came to accept onerous terms, negative terms, no mobilization, excessive retentions, and so on as a part of doing business. Well, as you can see, over those years, the seven and eight bidders has shrunk to one and two. And the handful of us that are left that are quoting these jobs, we now sit down and talk terms and everything that’s unreasonable, including excessive retention, any excessive liquidated damages, schedules that are too short. We basically take the position that you either negotiate with us something reasonable and acceptable to us, or we don’t bid. And when you have only two prospective bidders, if one of it says he’s not going to bid now you’re down to one, you can’t bid it. So we’ve been able to negotiate upfront mobilization payments that heretofore were difficult. Reduced retention, better contract terms in terms of cure periods and the inability for them to assess consequential damage. Literally every onerous term has been eliminated. And I’ll give you a classic example. When I first got the original contract terms from the New York City Department of Corrections on the New York City jail, I read them with our legal department, send them back a letter, and said, you, terms are so onerous. Although we appreciate the size of the projects and your needs by looking at your contract terms, we’ve decided they’re entirely two owners we will not be a bidder. Thank you. And that was the end of it. Three months ago by, get a letter back and says, basically, you’re right, they’re entirely too onerous. We want you to bid. We like to discuss and meet what you expect. We met, we got every single term of reason. And it isn’t that we were unreasonable. It’s fair terms that are equally reasonable with upfront cash payments [indiscernible]. We build these projects with your money, not our money. So that’s across the board. In every job, we now bid better terms, better schedules, or the response is simple. We’re not bidding. And with us being one of the few remaining risk takers that will bid these big jobs, it typically generates the changes we need.
Adam Thalhimer: Okay. Great color. And then as investors, how should we think about as you execute on these jobs at these terms, what kind of margin ranges people should expect as you think out to 2025 and 2026 and 2027?
Ronald Tutor: I don’t understand what you mean by 2025, 2026? [Ph]
Adam Thalhimer: No. What kind of margin ranges that you think you can do in the segments as these jobs turn into profit.
Ronald Tutor: I know what the ranges are. The interesting aspect is this, something we normally don’t discuss in a public forum our bid profits. Let me gauge it with this. You’ve seen the margins we produced in civil, building and specialty in the past. Significantly, a particular emphasis on both building and specialty because over $7 billion, or excuse me, almost $6.5 billion of the backlog is going to the building end in New York City with significantly increased margins, far more than the building group normally gets. And all of our civil group in the new backlog, I would say starting in 2000, the end of 2023 and certainly 2024 significantly increased with the margins you’re used to in past civil where they made 11% to 12% on revenue. Does that help?
Adam Thalhimer: Okay. That’s perfect. And last one, I know we’re – I know we’re focused on the long term, but we have to stick something in the model for Q4. I’m just curious if that if you expect that to be a profitable quarter? Or how we should model that?
Ronald Tutor: The only thing I can say is I believe you can interpret in the numbers we presented that Q3 would have been profitable and you can probably back into the earnings it would have been were it not particularly for Shasta and all of the write offs. I don’t see anything major in the fourth quarter, but I’ve got four or five virtual disputes in various stages of negotiation and potential settlement that I think will get settled by mid-December. I really can’t tell until then. And if I – it’s not going to be anything resembling this third quarter. But I’m reluctant to say we’re going to make the margin in the fourth quarter because as you can see, I’m pushing to be rid of all these legacy disputes, collecting a lot of cash and moving into this tremendous backlog with reduced debt and significant cash balances so we can earn what we got to earn.
Adam Thalhimer: Okay. Great color. Thank you.
Ronald Tutor: I think I danced around it, but it’s the best I can do.
Adam Thalhimer: No, no, no. Very clear. Thank you.
Ryan Soroka: We’ve got profit forecast in the fourth quarter.
Adam Thalhimer: Okay, thanks again.
Operator: Our next question is from Alex Rygiel from B. Riley Securities. Please go ahead.
Alex Rygiel: Thank you, and a very nice quarter. Congratulations on the wins there. A couple quick questions. Could you help us – could you help us to bracket sort of the value potential in disputes that are remaining?
Ryan Soroka: I’d say between now and the end of next year, between $450 million and $500 million.
Alex Rygiel: And then very helpful. And then kind of a two part question. Can you talk about the CapEx needs and working capital needs as you start to step into this really big backlog build. And then when you think about your capital structure, what’s the optimal leverage on the business and what do you plan on doing with your cash after you get to that point?
Ryan Soroka: Well, let me try to deal with it. First, the way we bid these jobs, we bid them on the basis that the owner provides all of the cash necessary in the mobilization upfront to where if our backlog goes to $20 billion, our existing working capital doesn’t finance it, the owner payments do and that we’ve insisted on and been 100% successful. We don’t finance any of the work of their payments to us finance their own work. Secondarily, the capital expenditures are consistent with the past. We own most of the equipment necessary for this work and that which we don’t, the jobs pay for as they’re four to five-year rentals and the cost is baked into the job. So you’re not going to see any significant CapEx beyond what it’s been in the past, between $25 million and $30 million a year.
Alex Rygiel: And then your optimal capital structure?
Ryan Soroka: Pardon me?
Alex Rygiel: What is the optimal capital – what is the optimal capital structure of this business? In other words, what kind of debt-to-cap ratio do you want to run at? And when you get there kind of what are you going to do with the excess cash?
Ryan Soroka: Well, my optimal basis will be to pay off all our debt with the exception of that abysmal bond issue where we were unfortunate enough to finance it at [indiscernible]. And as we continue to generate these significant levels of cash, that’s a decision that we and the Board are going to have to make over the next 12 months because I think I’ve made it clear we’re going to pay off all debt and have a revolver as needed. But we expect the needs of that revolver to be minimal and it’s there as insurance, and as we continue to accumulate cash we’re going to have to make a decision what we do with it.
Alex Rygiel: Very helpful. Great quarter. Thanks
Operator: Our next question here is from Michael Dudas from Vertical Research Partners. Please go ahead.
Michael Dudas: Good afternoon gentlemen.
Ronald Tutor: Hey Mike.
Michael Dudas: Ron, you mentioned in your prepared remarks about taking a high-risk [ph] from bidding. So a little more – some thoughts on that, is there like your win rates probably have been getting much better and you have a lot of opportunities over the next few months which you’ve highlighted. Is that like, kind of close to like the capacity of like you’re comfortable with those types of large projects on board given your risk mitigation, your profile and that is the market, I assume that are others looking the same way, that there’s just everybody’s getting very busy and that capacity getting tighter. So I’m sure maybe some owners might be a little getting nervous on that front.
Ronald Tutor: Well, I can’t really speak for our peers because there’s very few of them that compete with us. But all of the major jobs, 500 million and up, which is what we call a major project, essentially come across my desk for approval to bid and then review of estimates and we try to look at the entirety of the company, where it’s located, if it’s East Coast Civil, it’s a matter of their capacity in-house. Do they have the people, do they have the resources? If they do, we don’t hesitate to support them. If we don’t, we turn off the tap and say you’ve got an adequate backlog with significant cash flow and major earnings. Go out and deliver it, we’ll talk. Meanwhile, all of the operations have day-to-day bids to sustain themselves. Our civil group in the Midwest, London is a consistent profit earner. They bid anything and everything they’d like up to that 500 million without a lot of needed approval from me because of their record. So we keep a tab on them and all we want to be sure is you have the resources and people to build the work and be certain there are no owners contract terms. So as long as that continues, when I say we’ll shut off the work, it’s in the billion plus category. The day-to-day $100 million, $200 million jobs will continue across the board. Those are typically 18 month to three-year jobs that the subsidiaries will determine on their own.
Gary Smalley: And Mike, this is Gary. Just to clarify, we’re not at that point yet. Right. We haven’t shut off the perspective, we continue to pursue the work. But it’s just the potential pause if we continue with the win rate, the improved win rate that you mentioned and then some of the business units implied with what Ron was saying, some of the business units won’t be impacted at all. Not just because of the size of the work, but just because they’re not at anywhere close to that capacity.
Michael Dudas: That’s very helpful. All good issues to have. Thanks gentlemen.
Ronald Tutor: Thank you.
Operator: Our next question is a follow up question from Adam Thalhimer from Thompson Davis & Company. Please go ahead.
Adam Thalhimer: Oh, thanks guys. Hey Ryan, can you expand? You said that share based compensation is going to change a little bit I think to the point where it won’t be revalued every quarter. Is that something that happens in 2025? I didn’t quite follow that.
Ryan Soroka: Yes, it’s a good question. So the, what we anticipate is structuring awards to be settled in shares in the future. We still have outstanding awards that are out there today that are liability classified that we’ll have to continue to remeasure. Although we anticipate, like I said, the future awards will be settled in shares. So you won’t see this. You won’t see the volatility that spikes up or spikes down related to the comp expense.
Adam Thalhimer: So it doesn’t go. It doesn’t go away in 2025, but it starts to taper from 2025 on.
Ryan Soroka: That’s fair. Yes.
Adam Thalhimer: Okay, perfect. Thanks.
Ryan Soroka: No problem.
Operator: This concludes the question-and-answer session. I’d like to turn it back to management for any closing comments.
Ronald Tutor: Thank you everybody. Very positive meeting and look forward to more of the same.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you again for your participation.